Operator: Thank you for standing by. This is the conference operator. Welcome to the Lululemon Athletica Inc. First Quarter 2020 Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Howard Tubin, Vice President, Investor Relations for Lululemon Athletica. Please go ahead. 
Howard Tubin: Thank you, and good afternoon. Welcome to Lululemon's First quarter Earnings Conference Call. Joining me today to talk about our results are Calvin McDonald, CEO; Sun Choe, Chief Product Officer; Meghan Frank, SVP, Financial Planning and Analysis; and Alex Grieve, VP and Controller. Before we get started, I'd like to take this opportunity to remind you that our remarks today will include forward-looking statements reflecting management's current forecast of certain aspects of Lululemon's future. These statements are based on current information, which we have assessed, but which by its nature, is dynamic and subject to rapid and even abrupt changes. Actual results may differ materially from those contained in or implied by these forward-looking statements due to risks and uncertainties associated with our business, including those we have disclosed in our most recent filings with the SEC, including our annual report on Form 10-K and our quarterly reports on Form 10-Q. Any forward-looking statements that we make on this call are based on assumptions as of today, and we expressly disclaim any obligation or undertaking to update or revise any of these statements as a result of new information or future events. 
 During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our quarterly report on Form 10-Q and in today's earnings press release. The press release and accompanying quarterly report on Form 10-Q are available under the Investors section of our website at www.lululemon.com. Before we begin the call, I'd like to remind our investors to visit our investor site where you'll find a summary of our key financial and operating statistics for the quarter. 
 Today's call is scheduled for 1 hour. [Operator Instructions] And now I would like to turn the call over to Calvin. 
Calvin McDonald: Thank you, Howard. It's good to speak with all of you again to provide an update on our first quarter, how we are adapting to and navigating the unique challenges presented by COVID-19 and the trends we're currently seeing in the business. I'm pleased to be joined today by Sun Choe, our Chief Product Officer, who will share some product highlights. You'll also hear from Meghan Frank, our SVP of Financial Planning and Analysis. Meghan is one of our seasoned veterans within the finance organization, who has stepped into an expanded leadership role while our CFO search is underway. I'm excited to be working closely with Meghan and appreciate the support she's providing to the organization. 
 Also joining us for the Q&A portion of the call is Alex Grieve, our VP and Controller.  
 Given recent events, I'd like to begin by sharing some thoughts on the tragic deaths of George Floyd, Breonna Taylor, Ahmaud Arbery, and far too many others and the global outrage over long-standing issues of racial injustice and systemic discrimination. Black lives matter. Lululemon unequivocally denounces the unacceptable racial violence and oppression that directly impacts the black community. We are listening and learning and taking action. As a company, we are committed to increasing our investment in education, behavior change and diverse representation within our organization, and calling on our global community to drive positive change into the future. I look forward to sharing more details and our progress on these commitments going forward. 
 Let me turn now to our overall business performance in quarter 1. Total revenue decreased 17%. Due to the significant number of stores closed during the quarter, we are not reporting same-store sales. Our e-commerce business was particularly strong in quarter 1, accelerating as the quarter proceeded. E-commerce comps increased 70%, which is on top of 35% increase last year. This represented a meaningful acceleration relative to our quarter 4 e-commerce comps of 41%. Gross margin declined 260 basis points as deleverage on occupancy and other nonproduct costs offset an increase in product margin, and earnings per share were $0.22 versus $0.74 last year. And our financial position remains strong as we ended the quarter with $1.2 billion in total liquidity. 
 I'd also like to provide some insights into our market share gains. While we typically do not share market share data under these circumstances, the data helps calibrate our performance and reinforces the strength of our brand. In the athletic apparel space, a category that is performing better than other apparel categories, we saw one of our largest quarterly gains in market share in recent years, according to NPD data. Given the challenges presented by COVID-19, our Q1 results unfolded in 3 phases, with each 1 exhibiting unique performance characteristics. We also had key learnings across the quarter.
 Let me now speak to our business performance within each phase. During Phase 1, the pre-COVID time period, we were very pleased with the momentum lululemon carried into the quarter, building off of our strong quarter 4 performance, our business accelerated through early March with total comps increasing over 20%. We saw strength in all of our regions, except Asia, which was already experiencing the effects of the virus by this time. In mid-March, we entered Phase 2 as COVID-19 began to spread across the globe. We moved quickly to protect our people and guests by closing the majority of our stores. While guests in North America and Europe were just beginning to deal with COVID-19, guests in China were beginning to move into the recovery phase. 
 Our total comps in China were positive in March, with strength in our e-commerce business offsetting continued declines in our stores. During this period, as our stores started closing globally, our e-commerce growth began to accelerate. In late March and April, we moved into the early recovery phase. A new normal emerged, and we were encouraged to see how quickly our guests were embracing both working and sweating from home. We saw a significant acceleration in sales trends that resulted in 125% e-commerce comp for the month of April, with this momentum continuing into the second quarter. During this phase, our overall business in China accelerated further as guests began to feel more comfortable returning to the stores. Our total comps in China increased in the low teens in April and have further improved into quarter 2. 
 While this period of time remains uncharted territory, I'd like to share some of our key learnings that are guiding our view of our business, both in the near and long term. We believe this context is valuable given we are not providing detailed financial guidance. In a moment, Meghan will share some directional color for you on Q2 and the full year.
 Let me start by highlighting the strength of our management team. Our full leadership team came together. Our efforts demonstrated our strengths of being globally coordinated and regionally empowered. We stood up a global COVID-19 response team comprised of cross-functional leaders to ensure our actions were informed and appropriate, based on conditions on the ground in each market. As a leadership team, we have never been more aligned globally. The current environment has advanced cooperation across our regions, and we're using the learnings from China to guide our actions in other regions that are now in the recovery phase. 
 Let me shift gears now and speak to the broader lululemon community and our stakeholder relationships. Our collective, including our employees, ambassadors, guests, vendors and landlords has always come first. We acted swiftly during the quarter to support our collective in this crisis by closing the majority of our stores, committing to pay protection for all our employees, launching our We Stand Together fund to assist our employees who were directly impacted by COVID-19, launching our ambassador relief fund and continuing to pay our rent and pay for committed merchandise orders. We believe that by supporting our collective and helping them navigate the day-to-day realities of this period, we will build even stronger relationships and increase the already strong loyalty and trust in lululemon. These decisions are right for our people and for our brand. While there is a near-term impact on our P&L, these investments will serve us well over the long term. 
 I'd also like to highlight the strength and resiliency of our supply chain and distribution network. As our e-commerce business spiked throughout the quarter, we were able to harness the power of our agile distribution network to ensure guests continue to receive a high level of service. We recently implemented intelligent sourcing capabilities that use machine learning and artificial intelligence to route e-commerce orders through our distribution network in the most efficient way. The benefits include increased delivery speed to guests, minimizing costs and efficiently utilizing inventory pools to help reduce markdowns. In terms of inventory management, we acted quickly so that we align future deliveries with our new view of demand. We benefit from an inventory with a relatively high percentage of core product, about 40% overall, that has a shelf life beyond the current season and with limited markdown risk. And while we did see some of our factories in affected regions temporarily shut down, our diversified vendor base has served us well in navigating the day-to-day. Overall, these actions resulted in ensuring we had inventory to fulfill guest demand as our e-commerce business continued to accelerate, built capacity to ensure guests continued to receive the strong service levels as volume increased and we are positioned well from an inventory standpoint for the second half of the year and maintain an ability to react to multiple demand scenarios.
 When looking more closely at our e-commerce business, guests continue to respond to the newness we introduced into our assortments. We leveraged our Science of Feel innovation platform to bring innovation to the market, and Sun will share additional details with you in a moment. 
 We have been investing in our sites in our mobile app for the last several quarters to enhance the guest experience. These investments have improved functionality, including checkout, navigation, search browse and the speed of our sites. And I'm thrilled to see how well these strategic investments are paying off. In recent weeks, we've seen order volumes equivalent to what we experienced during the holiday season in December. 
 As I stated earlier, our e-commerce comps increased 70% in quarter 1 and 125% in April. I'm excited that we were able to create more online growth globally despite the challenges of COVID-19. While our stores were closed in Europe and APAC, the work and investments we have made in our regional sites took center stage and brought to the forefront the considerable potential for our brand across each market and the role e-commerce can play to grow our business. Europe delivered a stellar 170% e-commerce comp in quarter 1. And in Australia, e-commerce comps increased nearly 150%. Our brand is clearly resonating in our international markets, and we continue to believe we can quadruple this business from 2018 levels by 2023. For the e-commerce business overall, our strength was broad-based, driven by both core product and new innovations. From a guest perspective, a healthy combination of existing guests, new guests and store-only guests beginning to transact with us online drove performance. These trends are very encouraging and should drive our growth into the future as we continue to manage these relationships moving forward.
 As we have managed the business through the COVID-19 phases and entered the recovery phase, we have not taken our eye off the future. We have accelerated our innovation in key areas and have prioritized investments in our key growth initiatives. In the early days of the pandemic, we launched our Community Carries On portal on our e-commerce sites globally. This hub allows our guests, both existing and new, to live the Sweatlife through a number of virtual channels. More recently, we launched our digital educator service. This program allows guests to chat with educators via video to help them discover new products, answer their questions on fit, or help them find a gift. This program speaks to the power of our omni-educators and the engagement they can have with our guests, whether in-store or online. 
 We have clearly seen our guests interact with us in new ways via our digital offerings. We expect these behaviors and routines will continue as we move forward. We also believe that at home, virtual workouts will be an additive component of sweat regimens well into the future even as studios reopen and return to normal operations, and we intend to continue to be there for our guests for all their sweaty pursuits, both inside or outside their homes. 
 Let me update you now on where we stand with the store openings and our outlook on the future. As of today, we have reopened approximately 300 store locations across North America, Europe, Asia, New Zealand and Australia. We will reopen the remainder of our stores when it is safe to do so in each community. While we're excited with the early results in our reopened stores and the acceleration we've seen in our e-commerce business, we recognize that many unknowns continue to exist in the external environment. We are moving forward with new store openings in strategic locations, such as Greater China and continuing to invest in our future, but we are also being financially prudent as we move forward. We operate under the principle that we will not take an action in the near term that will hurt our business or our brand in the long term. We have removed $130 million from our originally budgeted SG&A spend for the year and have identified additional opportunities should the ramp we're currently anticipating revenue, failed to materialize. 
 I'd now like to turn it over to Sun, who will share some product highlights. Sun? 
Sun Choe: Thanks, Calvin. First, I'd like to voice my support of Calvin's opening comments on the global movement to eradicate racial injustice and discrimination. I am a person of color and an immigrant, who through hard work and lucky breaks, have been able to overcome racial barriers that tragically still exist today. I am proud to be part of lululemon and to be part of the team committed to driving meaningful and enduring change. Thank you. And with that, I'm happy to be here to share our product results. 
 We continue to leverage our Science of Feel product platform to solve guests' unmet needs and fuel our future growth. We brought new innovation to our assortment in Q1, and I'm excited with what we have untapped for the coming months and quarters. Despite COVID-related store closures, we saw strong demand across key areas of the business driven by the following: One, continued innovation with new launches in the train category; two, the new normal of working and sweating from home; and three, our ongoing ability to leverage our core franchises. Let me share a few highlights on each. 
 From an innovation standpoint, early in Q1, we relaunched our proprietary Everlux fabric in 2 new styles, Wunder Train and Invigorate. These styles are designed for train and our guest response was strong to both. In fact, we saw virtually no cannibalization within our key pants styles, and our women's pants business was one of our best-performing categories in the quarter. 
 Midway through the quarter, as our guests began adjusting to working and sweating from home, we saw a significant increase in demand for our Yoga products, including our Align bottoms, Yoga mats and blocks. We are also seeing our guests gravitate to our train products. In women's, we saw strong demand for Wunder Train and Invigorate bottoms, as I previously mentioned; and for men, we saw strength in our search, pant and jogger as well as our License to Train pant and jogger. Even prior to COVID, we identified significant opportunity to grow our train business for men, much like we have for women, by introducing additional styles of performance pants. We will continue to leverage this opportunity going forward. 
 Finally, when looking at our core franchises, we expanded both our Align and Swiftly collections in Q1. In Align, we expanded into tops with the tank. This is particularly exciting because it is the first time we've expanded an existing bottoms franchise into tops, and the style has been a huge success for us so far. We see this tank being a key growth driver in our tops business and see further runway for us to leverage some of our other pant franchises in similar ways. 
 We also relaunched our Swiftly franchise with Swiftly 2.0. The technology behind the Swiftly makes it ideal for use in running and training, and our recent updates include shorter lengths, enhanced fit characteristics and improved shape retention. Guest response to our enhanced versions of our Swiftly franchise has been strong, and we are excited to build upon the success in our tops business. 
 Looking forward, I'm thrilled with what we have on the horizon to expand our share of closet with our on-the-move category for women. I don't want to give too much away, but later this summer, we'll be launching 3 new pant styles meant for out-of-studio use, but which leverage our expertise in fit, technical fabric and construction that we are famous for in our performance leggings. 
 It is clear to me that the desire to wear technical apparel, which also offers comfort, is here to stay. We do not believe that guests will be willing to forgo either one of these attributes even as they return to their normal lives over the coming months. We at lululemon are extremely well positioned here based on the expertise we've developed over many years, driven by the Science of Feel. The entire body of work underpinning this platform relates to how guests want to feel while wearing clothes, and we've always used this as our foundational principles supporting our innovation. We will continue to leverage this expertise to drive our growth going forward. 
 With that, I'd like to thank our entire product organization, their ingenuity and dedication during this virtual and uncertain time. We remain confident in our innovation pipeline, and I am buoyed by the team's steadfast passion for beautifully solving our guests' unmet needs and how they are creatively responding to the ever-changing climate. 
 And now, over to Meghan to take you through our financials. Meghan? 
Meghan Frank: Thanks, Sun. I'll start by providing details on our Q1 performance. And although we are not providing specific guidance, I will offer some color on our outlook for Q2 and the remainder of the year. I will also discuss specifics on our balance sheet, including our cash position, liquidity and inventories. 
 For Q1, total net revenue decreased 17% to $652 million as our business was impacted by the spread of COVID-19 and related store closures. In our digital channel, we posted a 70% constant dollar comp increase on top of a 35% increase last year. Our store comp definition removed stores that were closed for greater than 30 days. Given the significant number of temporary store closures in Q1, we do not feel store comp is a meaningful metric to evaluate performance. Therefore, we are not reporting total comps or store comps. As we evaluate our top line performance, we are focused on total revenue, our digital business trends and open store recovery trends, which I will offer some additional color on as we move into our outlook. 
 Square footage increased 15% versus last year, driven by the addition of 34 net new stores since Q1 of 2019. During the quarter, we opened 4 new stores: 2 in Mainland China, 1 in South Korea and 1 in Hong Kong, and we are pleased with initial performance. Excluding the temporary closures related to COVID-19, we closed 6 stores in the quarter. These were predominantly the ivivva-branded store closures, which we had planned. None of our permanent store closures were related to COVID-19. We also completed 3 planned optimizations. 
 In terms of our digital channel, e-comm contributed approximately $352 million of top line or 54% of total revenue. Our constant dollar e-comm comps were consistent with our Q4 trend through the end of March. And as Calvin mentioned, we saw this accelerate to approximately 125% in April. We experienced accelerated strength in traffic and conversion, which increased over 40% and 25%, respectively. Traffic was driven by channel shift, coupled with investments in digital marketing; and conversion, driven by guest response to our products and the investments we have made in our global digital platforms to improve guest experience. Gross profit for the first quarter was $334 million or 51.3% of net revenue compared to 53.9% of net revenue in Q1 2019. The gross margin decline of 260 basis points include a 180-basis-point increase in overall product margin resulting from lower product costs and favorability in product mix. We did not take any significant inventory write-downs in the quarter. This was offset by 330 basis points of deleverage on occupancy and depreciation, 100 basis points of deleverage on product and supply chain costs and 20 basis points of negative impact from foreign exchange. 
 Moving to SG&A. Our approach has been to protect against downside while also ensuring we continue to invest in our long-term growth opportunities. SG&A expenses were approximately $302 million or 46.3% of net revenue compared to 37.4% of net revenue in Q1 2019. The deleverage in the quarter resulted predominantly from lower revenue due to COVID-19-related store closures and our commitment to continue to pay our employees through this period of disruption, which was partially offset by the recognition of some government wage subsidies. 
 Foreign exchange, both translation and revaluation contributed 40 basis points of leverage in the quarter. Operating income for the quarter was approximately $33 million or 5% of net revenue compared to 16.5% of net revenue in Q1 2019. Tax expense for the quarter was $5.3 million or 15.6% of pretax earnings compared to an effective tax rate of 26.4% a year ago. This decrease in our effective tax rate compared to last year relates primarily to additional tax deductions for stock-based compensation during the quarter. Net income for the quarter was $28.6 million or $0.22 per diluted share compared to earnings per diluted share of $0.74 in Q1 of 2019.
 Capital expenditures were approximately $52 million for the quarter compared to approximately $68 million in the first quarter last year. Q1 spend relates primarily to store capital for new locations, relocations and renovations, technology spend to support our business growth, digital channel and analytics capabilities and supply chain investments. 
 Turning to our balance sheet highlights. We ended the quarter with $1.2 billion in total liquidity. We have $823 million in cash and cash equivalents and $400 million of available capacity under our committed revolving credit facility. 
 Inventory grew 41% versus last year and was $626 million at the end of Q1. We view our vendors as partners, and we have not used order cancellations as an inventory or cash management strategy. Our product teams have worked hard to reflow our deliveries for the second half of the year based on inventories on hand and our revised view of demand, and we have honored our commitments to our partners in Q1 and Q2. These commitments, coupled with our store closures, resulted in the Q1 inventory increase and will likely result in a higher increase at the end of Q2 before levels begin to moderate in the second half of the year. I'd also reiterate our clearance strategies have not changed. We have historically relied on 4 vehicles to clear merchandise: in-store markdowns, online markdowns, our outlets and occasional warehouse sales. We currently have no plans to veer from these methods. In addition, approximately 40% of our inventory is comprised of core styles, which are generally seasonless in nature and carry minimal markdown risk. 
 We repurchased approximately $64 million in stock in Q1 for temporarily pausing our share repurchase program as part of our COVID-19 cash management strategy. We have approximately $264 million remaining on our current $500 million repurchase plan. 
 Let me shift now to current trends and share with you some color on how we're looking at the remainder of the year. Due to the dynamic nature of the macro environment, we are not yet returning to our historical cadence of providing specific guidance for the current quarter and fiscal year. We've been looking at a number of scenarios in order to ensure we have the appropriate flexibility to manage the business through a range of outcomes. Important in this has been closely monitoring recovery trends in open markets as well as our digital business to inform both our forecasting and investment decision making. After closing all of our stores in Europe and North America in mid-March, we began the process to welcome guests back mid-May. We currently have approximately 300 stores open in the following regions: approximately 190 in North America, 13 in Europe, 53 in Asia and 39 in Australia and New Zealand, and all of our distribution centers are up and running. 
 We are very pleased with the response we're seeing from our guest scenarios where our stores are open. In China, where our stores have been up and running the longest, we've seen store comps increase approximately 20% in most recent weeks. We're also pleased with the early response we're seeing in North America, which is exceeding our expectations. In addition, our digital business has remained strong throughout, and we've continued to invest in our online and fulfillment experience to ensure we serve our guests and capture demand. For Q2, we expect comps in our digital business to be relatively consistent with our April trend of approximately 125%. 
 Looking forward, for the business overall, we anticipate the trend in total revenue growth to improve sequentially throughout the remainder of the year. Total revenue in Q2 could decline in the high single-digits, improving to a high single-digit increase in Q4. We expect revenue in our digital channel to remain strong in Q2, but moderate in second half as the store business continues to recover. 
 With regard to earnings per share, we anticipate EPS rate declines relative to last year in Q2 and Q3, with a return to EPS growth in Q4. The Q2 decline will likely be better than the decline in Q1, although I would note likely worse than what is implied by current Q2 Factset consensus estimates. 
 In terms of SG&A for the full year, we have identified $130 million in SG&A savings relative to our original budget. However, we expect to deleverage for the year as we continue to pay our people and prudently invest in select growth initiatives on a lower than originally anticipated sales base. We have identified contingency plans for further SG&A reductions beyond the $130 million should the recovery period be more prolonged than what we are currently anticipating. 
 In terms of capital spending, we expect CapEx for 2020 to be below our original budget and generally in line with last year. We are prioritizing spending on digital and omni initiatives and fulfillment capabilities while pulling back somewhat on new store openings and remodels. 
 Before handing it back to Calvin, I'd like to reiterate that our financial position remains strong. Our balance sheet strength and flexibility in our business model is enabling us to effectively manage through the uncertainties of the current macro environment while protecting our people and prudently investing in the future. And now back to Calvin for some closing remarks. 
Calvin McDonald: Thanks for the update, Meghan. I'd like to close by letting you know that we remain fully committed to our Power of Three growth plan, which we laid out for you last year. COVID-19 is impacting our performance in 2020 but we remain focused on our 3 key growth pillars and our goals to double men's, double digital and quadruple international by year-end 2023. Within our quarter 1 results, we have much to celebrate, including seeing retail-only guests beginning to transact with us online and transition towards becoming an even more loyal omni-guest. The overall strength and acceleration of our e-commerce business globally with breakout results in Europe and Australia, strong performance from our core franchises, new innovations and the strength of our product pipeline, and the early recovery we are seeing in reopened stores with ongoing strength in our e-commerce business. Finally, I'd like to thank our teams around the globe for their resilience, agility and passion during this period. The enthusiasm for our guests and our community, shared by everyone across lululemon, demonstrates the enduring strength of our brand. 
 Operator, we can now open it up for questions. 
Operator: [Operator Instructions] Our first question comes from Matt McClintock of Raymond James. 
Matthew McClintock: Yes, everyone, and may I say congrats, good job to the entire lululemon organization. Calvin, and probably Sun, too, I wanted to start with consumer behavior changes because prior to COVID, there seemed to be a shift towards comfort within the apparel industry, and it seemed to be something that was in your wheelhouse. And now that COVID happened, it seems like this shift towards product that feels good, et cetera, has accelerated. And I want to know, is that a onetime acceleration? Or is that something that you think the trend will actually now remain at heightened levels of growth? 
 And then when you brought up market share today, I was wondering if you could talk about, are your market share gains, the function of that, maybe you're just more trend-aligned with this? Or is that maybe because some of your competitors have wholesale businesses that rely on more challenged distribution points? That's my first question. 
Calvin McDonald: Great. Thanks, Matt. And I'll start off, and I'll tackle the 2 parts of the question, starting with the last part, which is around market share. And the market share that we look at is the athletic apparel categories within -- I quoted a North American U.S. number. And it definitely is a category that has performed better than other apparel categories over the last number of quarters for a variety of reasons. I think it is comfort. I think it is lifestyle. I think it is a shift to less formal wear. And we've always performed well and beaten the growth in that category. In particular, for this quarter, our performance, I think, does show a shift -- a greater shift to the guest to both our brand as well as to the category, as you mentioned, which I think serves well as we look forward to where our opportunities continue to be. Heading into this, there is less behavior and want. And certain things won't change as a result of COVID-19 and definitely some things will change. And I think the things that won't change play to our strength, and that's living an active, healthy lifestyle. And the things that will change equally play to our strength, and that is more work-from-home, looking for comfort, the role that digital and omni play in that behavior and wants that the guest has. So the shift is, in my opinion, very positive for our brand and the role that we play in it. It has been something we've been building and innovating towards. It's what's driven the success of our products through the work that Sun and the team has done. Sun mentioned On The Move for women's, which is something we've been working on and we'll be launching in quarter 2, which we're very excited about. Again, I think, timely, but something that has been worked on for quite some time to deliver a very unique, exciting product. So I'm excited about the shifts that are happening and how it plays within our category and our role within that. And what we experienced in quarter 1 and will, quite honestly, for a little bit through 2020, are some short-term operational challenges. But the demand for the brand and the demand for the category, I feel, has only strengthened through this. And those short-term operational challenges will mitigate. They will go away. And I feel very good about the long-term position and our strategy and focus on the power of 3 behind that. 
Matthew McClintock: And then my follow-up is just you said that you can react to multiple demand scenarios in the back half of this year. And this is an industry where manufacturing can often be a barrier to entry, a constraint. And I was just wondering if you can maybe comment a little bit on how you treated your manufacturers and your ability to maybe get that capacity at a time where, if possible, there could be a lot of -- I don't know of the out of stocks, but a lot of people were trying to run and trying to case at the same time. 
Calvin McDonald: No, for sure. And I'll take it from just a very high-level strategic position. And it really is interesting when I reflect and look back on the quarter, the different moves that we shifted to where early on with COVID 19, when it was predominantly in China and we were closing our stores, we were very much focused on ensuring our raw material sourcing was well-secured, working with many of our partners on building out sort of quantity of raw materials, so we could get to production of finished goods. And then as it continued to expand, we started to shift and close stores. It started to shift to demand and total quantity that we would need, making decisions in the short term to support our vendor partners, as I mentioned, equally looking forward to quarter 3, quarter 4 and what our current buys were and how we wanted to make adjustments to those. And where we stand coming out of quarter 1 is, obviously, a higher inventory number than some of our peers, but that's because we haven't actioned through markdowns. We haven't actioned by pushing back and not honoring commitments we made. And we have a large portion of our inventory that's not seasonal, that is core, that are colors that sell year-long, and there's a high demand for that product. And as stores open up, that demand will only increase. And as we look forward to the end of the year, we plan to manage, through having more inventory now into managing into more of a traditional inventory level while able to work with our vendor base on pivoting and reacting quicker on styles and/or colors if we deem necessary. So there is a lot of flexibility built in. And I think the commitments we've made and where we stand right now allows us to play in a very effective way heading into the back half of this year. 
Matthew McClintock: I really appreciate it. I wish you all the best of luck. 
Calvin McDonald: Thanks, Matt. 
Operator: Our next question comes from Matthew Boss of JPMorgan. 
Matthew Boss: Great. Calvin, maybe can you speak to the interplay that you're seeing today between e-commerce up over 100% and brick-and-mortar productivity as stores reopen in North America? Maybe specifically, what kind of store comps are you seeing today in North America? And are you seeing e-commerce moderate in any regions where stores have reopened so far? 
Calvin McDonald: Thanks, Matthew. I think it's too early to really assess where we're going to sort of find the new norm and mix. What we are seeing -- and I would put this into context with our own team. We have one of the most productive retail models in the industry. Smaller stores, highly productive per square foot, which means we are moving through a lot of volume in small space. And the reality is, as we open up these stores, there are operational constraints through social distancing that we are honoring and respecting and supporting to protect our teams that are going to restrict us hitting those levels as quickly as we might like or, quite frankly, as quickly as the demand of our guest is as a result. I think that we're going to see our store productivity improve as we move through the year. It is currently in and around 75. Some stores are at 100%. It really does balance between market and time in. Stores are doing a wonderful job in how to service the guests and address the needs outside of the store, so we can get those that would have shopped inside the store. But that's how I'm viewing the store productivity number. 
 Heading into quarter 2 with e-commerce, we mentioned growth coming out of April of 125%. We've seen that accelerate coming into May and June. I think throughout the quarter, we're going to probably see that settle back in and around the 125% range. But as of right now, we have about 50% of our fleet in North America open. We're happy with the productivity numbers. We know it's going to be a little bit longer for us to hit our industry-leading numbers. But e-comm has currently accelerated, and we'll see where that mix is back. But I think both are just an indication of a strong demand for the product, short-term operational challenges that we're working through, but very positive in terms of the demand for the product and what we're seeing from the guest. 
Matthew Boss: That's great to hear. And then just a follow-up on gross margin. What's the best way to think about mix versus markdowns as we think about product margins, maybe in the second quarter or back half of the year relative to the 180 basis points of expansion that you saw in the first quarter? 
Meghan Frank: Yes. Thanks, Matt. It's Meghan. We're not going to provide specific guidance on product margin as we move throughout the year, but what we are providing is that we expect gross margin pressure to be slightly more in Q2 versus what we saw in Q1. And then we also expect gross margin performance in the second half of the year to be better than the first half as sales recover. I'd also note that we are expecting $40 million in overhead cost savings within our margin bucket, similar to the buckets we called out in the $130 million in SG&A savings we expect for the full year. 
Operator: Our next question comes from Lorraine Hutchinson of Bank of America. 
Lorraine Maikis: I wanted to follow-up on the inventory number. Can you talk to what proportion of that inventory is core? And then also, how much of your buys have you committed to for the back half at this point? 
Meghan Frank: Lorraine, thanks, it's Meghan. Yes. So in terms of the inventory proportion that is core, it's 40 -- approximately 40% of our assortment. We have, at this point, committed to our second half purchases through winter. We do have some flexibility within that as a large part of our assortment is core in that 40%. 
Operator: Our next question comes from Paul Trussell of Deutsche Bank. 
Paul Trussell: And first, let me just say that your comments and statements on Black Lives Matters is noticed and appreciated. So thank you for that. In terms of the P&L, just as we think about the channel mix, with such strong and robust online growth, could you just remind us of how we should think about the profitability and margins in that channel and how they may differ, if at all, from your sales. I mean, your store sales. 
Meghan Frank: Thanks, Paul. So our e-comm channel is more profitable than our store channel. However, we do look at the business as an omnichannel business. Over the longer term, as the situation normalizes, we expect to remain committed to our long-term growth strategy of sales in the mid-teens, modest gross margin expansion, modest SG&A leverage and EPS growth in excess of sales. 
Operator: Our next question comes from John Kernan of Cowen. 
John Kernan: Congrats on all the momentum. Could you just dive in a little bit more in terms of the in-store trends you're seeing currently? I think you said you have about 50% of the fleet in North America open. Just given the digital guidance you're giving us, I'm curious in terms of how you want us to frame our models for the in-store sales and what you're seeing versus what you're seeing right now? 
Meghan Frank: Great. Thanks, John. It's Meghan. We have approximately 60% of our stores open at this point globally. 100% in Australia and New Zealand, 95% in Asia, 60% in Europe and 50% in North America. We do expect that we'll open almost 100% of our stores by the end of June. If we think about the productivity we're seeing within those stores, as Calvin mentioned, in the initial weeks, we've seen some variability. It's still very early, but we're seeing that in the range of 75% to over 100% of last year's productivity. And at the same time, we've seen our e-commerce business accelerate in early weeks of the quarter. As I shared, we expect total revenue to improve in Q2 to a high single-digit decline. And we expect e-comm for the quarter to grow at approximately 125%. So moderating throughout the quarter as stores ramp and reopen. 
John Kernan: Helpful. I guess my follow-up is I think Celeste was on the call a couple of quarters ago talking about the larger experiential stores that you wanted to invest in, and I think would become 10% of the overall store base at some point. Calvin, are you still committed to that? Have you seen anything in terms of consumer behavior that would make you want to back away from that commitment? 
Calvin McDonald: Thanks, John. Listen, it's hard. My first response would be no. I think this is very difficult times to evaluate our -- the value of our retail fleet and to make any dramatic shifts and changes from a strategy that, 8 weeks ago, was relevant. Guests were shopping, and plus 20% was our combined comp, and our stores across our very flexible fleet were performing incredibly well. There's no doubt coming out that our online business, I believe, will find a new norm that's higher than where we began. That we definitely know we're going to have more omni-guests, which is incredibly exciting, because an omni-guest shops more often and spends more with us and is more loyal to the brand. But they're still an omni-guest, meaning they shop both physical and our online business. And I think it's too early to determine if there's going to be any dramatic shifts. We have very powerful stores. They are core to our connection with the community and how we build the brand and the loyalty. Recruiting guests, it's our #1 vehicle, still to recruit guests. And we were already shifting to a very flexible scenario of smaller seasonal into the experiential stores. So we will come out. We will continue to manage and see guest behavior. My anticipation is that those larger stores, the experiential and what they're delivering in the community and the role that they were going to play, were always designed through an omni-lens, and these are just going to be stronger, more powerful locations for us. And we were never looking at this as being the dominant number of stores in our fleet. We're being very selective. And I think there's, in fact, a lot of exciting opportunities of the role they can play within the omni-lens being rooted in the community and how guests are interacting with us, both online, virtually, as well as in stores. So nothing and shouldn't anticipate a significant shift. We'll learn, but still very committed to the growth in our store fleet, because we know we have a -- relative to others, a moderate number of stores and still opportunity to grow in markets. 
Operator: Our next question comes from Erinn Murphy of Piper Sandler. 
Erinn Murphy: Great. I guess my first question is just on China. I think you said that brick-and-mortar comps were up 20% for those -- the doors have been opened. Can you just break down what you've seen in terms of traffic versus ticket? And then how has digital been performing in China? 
Calvin McDonald: Yes. No, absolutely. And I'll walk through sort of coming in and the progression through sort of the 3 phases I laid out into -- in Q2, because I do think it's -- we use it as an interesting and helpful benchmark of how stores will build. And saying that, the rest of the markets, as they come on, are accelerating this growth curve to getting back to sort of a productivity level quicker than what we saw our stores in China. But heading into the -- coming out of quarter 4, and obviously, we were impacted much quicker in Q1 in China, the e-commerce business did accelerate relative to the incoming trend. We don't share specific numbers, but it was a meaningful acceleration as we close stores. When stores reopened, what we saw was it took a number of weeks to get back into a positive comp in March. The total business was positive, but that was driven through a very successful e-commerce growth as a mix where our store comp growth was still negative. And then into April, we saw single-digit growth as stores got closer to sort of breaking -- or positive comp to no longer declining, and our e-commerce business continued to be strong. Most of that in-stores was driven by conversion and ordering. We have seen a slower return to traffic numbers. But as stores got to growth, and as we've mentioned, they've been in the last few weeks, getting now into that 20-plus percent comp growth number, and we've been holding very strong e-commerce growth. So our China business has really returned to where it was pre-COVID-19 in that marketplace. It's driven on conversion in that highly engaged guests. Traffic is improving, but is definitely probably in retail the trailing metric in that sales equation. 
Erinn Murphy: Super helpful from a progression perspective. And then I guess my second question is just on your loyalty program. I recognize it's only in a handful of stores or state or city, if I should say. But have you noticed anything meaningfully different on the digital trends from those cities or those metro areas versus the rest of North America? And then how has COVID-19 shaped how you're thinking about rolling out your loyalty program or your membership program further? 
Calvin McDonald: No, great question. We've -- in particular, we launched a number of digital sweat offerings to our guests. It was one of those areas where I'm so proud of the way the team jumped on the opportunity to innovate. And we really tested and learned and accelerated a lot of initiatives forward so that we could really be present and offer what they were looking for. And that's across Instagram, our YouTube channel, Facebook. It's leveraging our ambassador community to really provide those. We launched a move event on Strava, which the results are significant in terms of the number of miles ran or bike or other activity and the number of guests that participated. So really energized about the engagement that guests are having with our brand with digital sweat.
 And also, one of the things that I think is very exciting is it validated what we know, which is the power of this brand and the relationship with our guests and the ability to be in conversation with them and have them interact with us outside of just purely transactional needs. We are in daily conversations with a number of our guests. They were interacting with our brand day-to-day, week-to-week. So when it came time to buy, when it came time to think about the category, just reinforces the role that our brand plays in their lives and the role that we can play in their sweat. So excited about what we're seeing with digital. 
 As it relates to membership, the program today is a balance between physical sweat as a driver product. And we always had planned on providing digital solutions as well as a part of the membership package. We have pushed out a broader city launch to early '21 at this point in time as a result of, quite honestly, it's more about the uncertainty than it is about guest engagement and demand for this membership program. 
 In the cities, we've had Austin, Denver, Chicago and Edmonton, incredible engagement. They've continued to be engaged in the program even during this. They've engaged in our online activities. We have some unique offerings planned for them. We are going to repeat in those cities this fall. We're going to add one new city to the program so we can continue to learn. But we pushed off the broader launch that we had planned for to early '21, more because of the uncertainty than really demand. Demand remains very strong. We're excited about it. We're going to be able to add to the guest mix on that. Some more to come. But there will be, in those cities plus one more this year, is the current plan. 
Erinn Murphy: Great. Super helpful. All the best. 
Sun Choe: Operator, we'll take one more question. 
Operator: Certainly. Our final question comes from Alex Walvis of Goldman Sachs. 
Alexandra Walvis: My question is on the demographic of new guests that are joining you online. Are you seeing a material different demographic that's new to the lululemon brand during this period of disruption? And then maybe a second question on the stores that have opened. Is there any discrepancy by geography or store type or anything else you care to call out on which stores are performing better out of the gates versus those that are a little slower to ramp? 
Calvin McDonald: Thanks, Alex. I'll take the first part of the question and let Meghan talk to the store performance and if there's any differences across the markets. 
 In terms of the guest perspective, we had a wonderful balance across a lot of demographics in new guest acquisition prior, and I would say they haven't really fundamentally changed. If there was one that's noteworthy, our stores and stores, in general, remain a significant acquirer of new guests for a retail business. And we have definitely seen online pick up a portion of that as a result of stores not being open. But our stores, in particular, equally were a significant acquirer of men new guests. And I would just indicate that if there's been any shift in the last few weeks, we've seen an acceleration of more women new guests. As a result, the ratio of men new guests has dipped below our trend. I believe it is only short term. It is a reflection of being online and our physical stores being closed. And the overall health number of new guests across both gender and other profiles, youth and others, is still very, very encouraging and very strong. So I'm trying to share anything that would be a bit of a nuance and difference. But the overall numbers and metrics across all are still very healthy and encouraging as we think about that as a growth channel for us continuing moving forward. 
 And Meghan, did you want to comment on stores? 
Meghan Frank: Yes. Great. Thanks, Alex. So in terms of differences in what we're seeing in trends, we're not seeing significant differences either by format or location. I would share we're seeing modestly better performance in non-mall locations, and we are benefited by approximately 2/3 of our store locations being outside of malls. 
Operator: That's all the time we have for questions today. Thank you for joining the call, and have a nice day.